Marcel Verbaas: Good morning to everyone joining our call today. We are pleased with our accomplishments during a challenging 2024, and particularly the positive momentum that was generated in the fourth quarter. As portfolio operating performance improved, and the significant capital improvement projects that weighed in our portfolio results during the year, were largely completed. Most importantly, we substantially completed the transformational renovation and upbranding of Grand Hyatt Scottsdale, with just some minor components remaining to be finished in 2025. The expanded Arizona ballroom was completed on schedule in early January, representing a significant achievement in the overall project. The timely completion of the ballroom allowed us to capture some lucrative last-minute group business during the month of January. This outstanding new facility has been extremely well received by our groups that have been able to experience the new space already and by meeting planners who are considering the resort for future business. With the now fully renovated and relaunched Grand Hyatt Scottsdale ramping up operations, we expect this strategic investment to begin delivering meaningful returns over the quarter, not years ahead. We remain confident that the resort will be able to drive significantly higher cash flow than it did during its prior peak performance years, through stabilization and into the future. Now turning specifically to our fourth quarter results, this morning, we reported a net loss of $638,000. Adjusted EBITDAre was $59.2 million, and adjusted FFO per share was $0.39 for the quarter, which modestly exceeded the midpoint of the guidance range we provided when we announced our third quarter results. Same property RevPAR came in 5.1% higher than the prior year in the fourth quarter of 2024, as performance at Grand Hyatt Scottsdale became a tailwind for our overall portfolio RevPAR gains. Encouragingly, we experienced double-digit RevPAR growth in a number of our markets in the fourth quarter. These outperforming markets include Nashville, Santa Barbara, Pittsburgh, Birmingham, Salt Lake City, New Orleans, Charleston, and Phoenix, driven by Grand Hyatt Scottsdale, indicating strong demand generated by various segments in these diverse markets. On a same property basis, fourth quarter hotel EBITDA of $62.9 million was 0.6% below 2023 levels, and hotel EBITDA margin decreased by 120 basis points. Excluding Grand Hyatt Scottsdale, fourth quarter same property hotel EBITDA was flat compared to last year, and hotel EBITDA margin decreased by 68 basis points. We continue to appreciate our operators' efforts to control costs in a difficult environment. For the full year 2024, net income was $16.1 million. Adjusted EBITDAre was $237.1 million, and adjusted FFO per share was $1.59. Our same property portfolio achieved a RevPAR increase of 1.6% in 2024, which was significantly impacted by the Scottsdale renovation. Excluding Grand Hyatt Scottsdale, RevPAR increased by 3.4% driven by solid occupancy gains throughout the year. As we discussed throughout the year, the group and business transient segments drove these RevPAR and occupancy gains, as leisure demand moderated a bit. In 2024, 18 out of the 31 hotels in our same property portfolio achieved RevPAR growth as compared to 2023. In addition to significant RevPAR growth at our recently renovated properties in Salt Lake City, Santa Barbara, and Orlando, our hotels in Houston, Dallas, Santa Clara, Pittsburgh, and Washington DC were relative outperformers during the year. On a same property basis, 2024 hotel EBITDA of $255.4 million was 5.5% below 2023 levels and margins were 189 basis points lower as compared to 2023. Excluding Grand Hyatt Scottsdale in both years, same property hotel EBITDA increased 1.3% and margins decreased just 64 basis points in 2024 compared to 2023. As I mentioned earlier, the group segment has continued to be a relatively strong driver for our portfolio. For the full year, same property group room revenues excluding Grand Hyatt Scottsdale, increased by 5% as compared to 2023. We continue to be particularly encouraged by our strong group bookings pace for 2025, which, while enhanced by returning group demand in Scottsdale, is evident throughout the portfolio. Atish will further discuss our group pace in his remarks. We also saw strengthening in corporate transient demand over the year, as evidenced by continued improvement in mid-week occupancy. Looking ahead, we continue to believe that there is still substantial room for growth in revenues generated by this segment as corporate transient demand throughout our portfolio still lags significantly behind the 2019 levels, particularly on Monday and Thursday nights. And while leisure demand moderated in 2024, we did see signs of stabilization in the fourth quarter, with most of our leisure-driven markets experiencing RevPAR growth during the quarter, with Savannah being the notable exception. We are particularly pleased with the CapEx projects that we have completed in recent years and expect to see meaningful returns from these projects in 2025 and beyond. While we experienced good results at the recently renovated Grand Bohemian Orlando, Hotel Monaco, Salt Lake City, and Canary Hotel Santa Barbara in 2024, we believe there is further room for revenue and EBITDA growth at these hotels. Additionally, relatively recent larger projects such as the additional ballroom at Hyatt Regency Grand Cypress are expected to reach their full revenue potential in the coming years. And while most of our focus in 2024 was on the Scottsdale project, there were a number of other projects completed that improved the competitive positioning of several of our hotels and resorts. As we turn to 2025, our total capital expenditures are projected to remain slightly higher than where we expect these to stabilize in the years ahead. This is partially as a result of closing out the expenditures related to the Scottsdale project. However, we anticipate only minor revenue and EBITDA displacement in 2025, as the projects we intend to undertake will cause very limited disruption to guests given the scope and timing of these projects.
Barry Bloom: Perry will provide details on both our recently completed as well as our planned capital expenditures in his remarks. Our initial 2025 guidance is based on a range of 3.5% to 6.5% same property RevPAR growth, or 5% at the midpoint. Embedded in this outlook is an expectation for further occupancy gains. Although we saw solid occupancy gains in 2024, occupancy for our portfolio, excluding W Nashville, Hyatt Regency Portland, and Grand Hyatt Scottsdale was still approximately seven points behind 2019 levels. We clearly also expect Grand Hyatt Scottsdale to be a significant driver of our projected occupancy and RevPAR growth in 2025, as we are now past the significant revenue and EBITDA disruption we experienced during the transformative renovation that took place in 2023 and 2024. As we begin 2025, we are optimistic about our growth prospects despite continued uncertainty in the overall economic climate, and we are off to an encouraging start to the year. We estimate that our same property RevPAR increased by 7.3% year-to-date through February 20th, compared to the same period last year. While these strong results were aided by the Super Bowl taking place in New Orleans in February, we also experienced some offsetting negative impact from the winter storms in January in a number of our Sunbelt locations. These early results coupled with the completion of the transformational renovation at Grand Hyatt Scottsdale give us confidence in our outlook for 2025 and in our portfolio's ability to drive significant revenue and earnings growth in 2025 and beyond.
Marcel Verbaas: We are proud of all the hard work that was done in the last year, not only as it relates to our asset management and project management initiatives, but also on our financing and capital markets activities. We addressed all near-term debt maturities and have further strengthened our balance sheet, positioning us to capitalize on potential strategic opportunities in the years ahead. While it appears that the pipeline of potential acquisitions may be improving somewhat compared to the last few years, we remain patient as we prudently evaluate and balance all potential capital allocation alternatives. We will continue to focus on improving our portfolio over time, as we have done through our capital expenditures that are focused on driving strong ROIs, as well as through selective dispositions of properties with significant upcoming capital needs that may not meet our investment requirements. And if market conditions allow, could also include taking advantage of external growth opportunities as we have done in the past. I will now turn the call over to Barry to provide more details on our operating results and our capital projects.
Barry Bloom: Thanks, Marcel, and good morning, everyone. For the fourth quarter of 2024, our 31 same property portfolio RevPAR was $165.92, based on occupancy of 64.4% at an average daily rate of $257.52. Same property portfolio RevPAR increased 5.1% in the quarter compared to the same period in 2023. This increase reflected about 2.5 points of occupancy gain and a 1% gain in average daily rate as compared to the fourth quarter of 2023. Excluding Grand Hyatt Scottsdale, fourth quarter RevPAR was $168.34, an increase of 3.4% as compared to 2023. This increase reflects a 2-point gain in occupancy and a 0.3% increase in average daily rate as compared to the fourth quarter of 2023. During the fourth quarter, same property RevPAR improved each month sequentially and compared to 2023, with October growing 3.9%, November growing by 4.6%, and December growing by 7.4%. Excluding Grand Hyatt Scottsdale, RevPAR was up 3.3%, 2%, and 5.2% in October, November, and December as compared to 2023. Throughout the year, we continue to see improvement in the business transient and group segments, while our leisure business continued to soften from the extreme peaks experienced in 2022. For the full year 2024, 31 same property portfolio RevPAR was $172.47, based on occupancy of 67.4% at an average daily rate of $255.72. Same property portfolio RevPAR increased 1.6% as compared to 2023. This reflected a 2.3-point gain in occupancy and a 1.9% decline in average daily rate as compared to full year 2023. Excluding Grand Hyatt Scottsdale, full year RevPAR was $176.62, an increase of 3.4% as compared to 2023. This increase reflects a 3-point gain in occupancy and a 1.1% decline in average daily rate as compared to full year 2023. Our properties achieving the strongest RevPAR growth compared to full year 2023 included Grand Bohemian Orlando, with RevPAR up 43%, Hilton Hotel Monaco, Salt Lake City up 25.4%, and Kimpton Canary Santa Barbara up 21.2%. Each of these hotels underwent significant renovations during 2023, and each has performed admirably with fully renovated rooms and food and beverage facilities. RevPAR growth was also experienced at the Westin Oaks and Galleria Houston, Hyatt Regency Santa Clara each up 10.1%, Waldorf Astoria Atlanta Buckhead up 9.1%, and Marriott Dallas Downtown City Center up 8.1%. These properties benefited from improved group demand and recovering business transient demand. Conversely, the greatest RevPAR decline compared to 2023 was experienced at Grand Hyatt Scottsdale as a result of the ongoing renovation. In addition, our leisure-focused properties in Savannah, Phoenix, and Napa also experienced declines as leisure business continues to normalize. Andaz San Diego and Hyatt Regency Grand Cypress also suffered RevPAR declines primarily due to difficult market conditions. Business from large corporate accounts continued to recover throughout the year, improving significantly compared to 2023 in the latter half of the year. Business for the very largest accounts continues to track well behind 2019 levels, while demand from small and midsize customers has largely recovered to 2019 levels. As noted earlier, leisure business continued to struggle throughout the year, both from an occupancy and average rate perspective in markets like Savannah, Napa, and Phoenix. Occupancy and rate levels in Key West appear to have stabilized, and Charleston and Santa Barbara both grew RevPAR for the year. Our significant resorts in San Diego and Orlando both experienced very competitive leisure environments throughout the year. Now turning to group, for the year, our same property group rooms revenue excluding Scottsdale exceeded 2024 levels by 5%. Our performance reflected some softening in group business at our large resort hotels, with stronger group results in our urban and suburban markets. Group business in the fourth quarter was generally in line with the full year. Now turning to expenses and profit, fourth quarter same property hotel EBITDA was $62.9 million, a decrease of 0.6% compared to the fourth quarter of 2023, resulting in 120 basis points of margin erosion. Excluding Grand Hyatt Scottsdale, fourth quarter same property hotel EBITDA was $63 million, flat as compared to the fourth quarter of 2023, reflecting a 68 basis point decline in margin. On a full year basis, same property hotel EBITDA was $255.4 million, and EBITDA margin decreased 189 basis points. Excluding Grand Hyatt Scottsdale, same property hotel EBITDA margins decreased 64 basis points as compared to full year 2023. Our fourth quarter and full year 2024 margins, excluding Grand Hyatt Scottsdale, continue to normalize as we saw increases in full-time equivalent employees and wage rates throughout the year. Expense control improved throughout the year as our hotels lapsed significant increases that impacted 2023. In the fourth quarter, food and beverage revenue declined slightly as outlet revenues increased while banquet revenues decreased. Revenue from other operating departments grew significantly, particularly in spa and golf, which were both up double digits. On the expense side, room's departmental profit improved by 49 basis points compared to the fourth quarter of 2023, with an increase in cost per occupied room of just 1%. Food and beverage margins declined 79 basis points, a result of the mix of outlet versus banquet business. A&G and utility expenses continue to be well controlled, up just 2.2% and 1.7%, respectively, compared to the fourth quarter of 2023. While sales and marketing and repairs and maintenance expenses were up 5.9% and 8.5% compared to the fourth quarter of 2023. We continue to see significant increases in sales and marketing expenses, as a result of loyalty expenses and digital marketing. Repairs and maintenance expenses continue to increase as the cost of qualified labor and contracted services continue to grow. Finally, turning to CapEx, during the quarter and year ended December 31, 2024, we invested $24.4 million and $140.6 million in portfolio improvements, respectively. In 2024, some of the significant projects we completed included the renovation of all meeting rooms at Waldorf Astoria at Buckhead, and substantial restaurant renovations at Ritz Carlton Denver and Bohemian Hotel Savannah Riverfront. In addition, we renovated lobbies and upgraded the heavenly beds at both Westin Oaks and Galleria. At Westin Galleria, we also renovated the lobby and restaurant located and substantially upgraded the fitness facility, and added a concierge lounge and meeting space. At the Marriott Woodlands, we renovated the lobby, restaurant, and bar, and added an M Club. In addition, we began a comprehensive program of making select upgrades to guest rooms at several of our large hotels, including Hyatt Regency Santa Clara, Marriott San Francisco Airport, and Renaissance Atlanta Waverly. These projects will continue into 2025. We also made progress on several significant infrastructure projects at Andaz San Diego, Fairmont Dallas, Marriott San Francisco Airport, Renaissance Atlanta Waverly, and the Ritz Carlton in Denver. Most notably, we have now completed all of the major components of the transformative renovation of the former Hyatt Regency Scottsdale Resort and Spa at Gainey Ranch. On November 1, 2024, the property was upgraded to Grand Hyatt Scottsdale Resort. As a reminder, the approximately $150 million project was completed in phases throughout the year, with the full renovation completed in the first quarter of 2024. Guest rooms and corridors were completed on a phased basis throughout the year, with certain premium suites and casitas finished in January 2025. Perhaps the most exciting component of the renovation from a revenue generation standpoint was the expansion of the Arizona ballroom and renovation of all meeting spaces. Renovation of the existing ballrooms, meeting rooms, and prefunction spaces were completed in October 2024. The expansion of the Arizona ballroom by approximately 12,000 square feet was available for groups in early 2025. We are also incredibly excited about the work we completed in the public areas, including the lobby, which has completely changed the look and feel of the resort. All of the hotel's food and beverage venues were reconcepted and redesigned. These venues opened on a phased basis between October 2024 and January 2025 in coordination with business levels. We could not be more pleased with the outcome and initial interest in these outlets from both hotel guests and the broader Scottsdale community. Finally, upgrades to the building facade, exterior lighting, and exterior signage were all completed by the end of 2024. Certain exterior projects, including the renovation of the parking lots, are to be completed in the summer of 2025. Significant planned renovations for the portfolio in 2025 include the first phase of a comprehensive rooms renovation, beginning in the fourth quarter at Andaz Napa, and renovation of guest rooms and corridors at the Ritz Carlton in Denver, also planned to begin in the fourth quarter of the year. In addition, in 2025, we will continue our ongoing program of incorporating select upgrades to guest rooms and public areas at a number of our properties. These projects will be done based on hotel seasonality and are expected to result in minimal disruption. In addition, we expect to perform infrastructure and facade upgrades at approximately nine hotels throughout the year. With that, I will turn the call over to Atish.
Atish Shah: Thanks, Barry, and good morning. I will provide an update on three items: our balance sheet, return of capital, and full year 2025 guidance. First, on our balance sheet. The credit facility recast and bond issuance we completed in the fourth quarter have resulted in greater liquidity and flexibility for the company. We addressed all significant near-term debt maturities except for one mortgage loan that matures next year and is at a favorable interest rate. At present, approximately three-quarters of our debt is fixed. We had approximately $650 million in liquidity at the end of January, inclusive of an undrawn $500 million line of credit. As to specific balance sheet actions since we last reported, the bond financing we completed in November was well received. We upsized the issuance to $400 million and utilized proceeds to pay off bonds that were slated to mature in August of this year. In January of this year, the delayed draw tranche of our term loan was funded, thereby taking our term loan outstanding balance to $325 million. As to our overall balance sheet position, we continue to have significant flexibility. All but three of our assets are unencumbered. We have no senior capital, and our net debt to EBITDA ratio was 5.4 times at year-end, and we expect it to decline as Scottsdale continues to ramp up. I will now turn to our return of capital. I have two specific items here as follows. During the fourth quarter, we repurchased over 500,000 shares of common stock at an average price of $14.83 per share. In 2024, we repurchased a total of about 1.1 million shares at about $14 per share, representing about 1% of our outstanding shares at the start of 2024. Our current board authorization permits the repurchase of an additional $118 million of common stock. Turning to the second way we have returned capital, our dividend. We expect to pay a first-quarter dividend of $0.14 per share, up from $0.12 per share last quarter. This dividend level equates to an annualized yield of over 4%. As to our payout ratio, on an annualized basis, the dividend reflects just over 50% of 2024 funds available for distribution or FAD. Over time, we expect our payout ratio to return to pre-pandemic levels in the mid-60% range. The third item I would like to discuss is our 2025 guidance. At the midpoint of the full-year guidance we issued this morning, we expect same property RevPAR to grow 5% versus last year, adjusted EBITDAre to increase 7%, and adjusted FFO per share to increase 3.5%. Getting into each of the components a bit more, I will begin with same property RevPAR. We expect RevPAR to increase 5% at the midpoint of the range. Supporting these expectations for RevPAR growth are three items. First is the strength of group demand in our portfolio. 2025 group room revenue booking pace as measured at year-end 2024 is up 17%. This is driven by a mix of healthy occupancy and rate growth. We expect the growth to be three-quarters driven by demand and one-quarter driven by rate. Excluding Scottsdale, group revenue pace is up 12%, again, about three-quarters demand-driven and one-quarter ADR driven. As to group on the books, about three-quarters of our expected 2025 group room revenue is already definite, with one-quarter left to book, which is typical for this time of year. Group revenue production continues to be strong as well. Over the last four months through January of 2025, group production for 2025 increased 20% versus the same period in the prior year. Excluding Scottsdale, it increased 13%, again reflecting continued momentum in near-term group booking activity. Second, a continuation of the improvement in business transient demand across our major markets is expected. In the second half of last year, we began to see business transient pick up more, and we expect that to continue. Our first quarter-to-date preliminary RevPAR growth of 7.3% reflects that recovery. More specifically, over the first seven weeks of 2025, our hotels located in Philadelphia, Denver, Pittsburgh, Nashville, and Buckhead, which are five of our urban hotels that have strong appeal to business transient guests, had an average of 13 points of midweek occupancy growth. Third, Scottsdale is driving over half of our expected 2025 RevPAR growth as we recover from displacement from last year. Scottsdale reflects approximately 300 basis points of our expected 5% RevPAR growth. The momentum in Scottsdale is growing. As of the end of January 2025, group revenue pace is ahead of 2019. This reflects 2025 group ADR pacing nearly 30% ahead of 2019 levels. Over 75% of our expected group revenues at Scottsdale are already definite. Moving ahead, I will turn next to hotel EBITDA margins. For the year, we expect margins to be roughly flat compared to 2024. While we expect growth in food and beverage and other revenues to outpace RevPAR growth, we also expect expense pressures, which I will discuss in a moment. First half margins are expected to decline slightly with growth expected in the second half. Excluding Scottsdale, we expect full-year margin to decline approximately 100 basis points due to higher expenses and our expectation that much of our RevPAR growth in 2025 will be driven by occupancy. On operating expenses, on a per-occupied room basis, we expect hotel-level expenses to increase about 4%. Wages and benefits, which make up 45% of our hotel-level expenses, are expected to increase slightly higher than that. All other hotel-level expenses, which make up about 55% of our hotel-level expenses, are expected to increase slightly below the 4% level. As to adjusted EBITDAre, we are guiding to a midpoint of $254 million for 2025. By quarter, the weighting we expect is about 25% for the first quarter, about 30% for the second quarter, nearly 20% for the third quarter, and just above 25% for the fourth quarter. The weighting is more in line with our pre-COVID seasonality as we expect more normalized business and minimal renovation disruption this year. While our full-year adjusted EBITDAre benefits from Scottsdale coming back online and a bit of growth across the remainder of the portfolio, there are some offsets. These four offsetting items total $6 million and are as follows. First, as you may recall, we sold the Lorien Hotel last year. It earned $1 million of EBITDA during our ownership period in the first half of the year prior to our sale. Second, we received $2.3 million in business interruption insurance proceeds in 2024. Third, we expect interest income to be $1 million lower in 2025 versus last year. And lastly, we expect cash G&A expense to be about $1.5 million higher in 2025 as compared to last year. To recap, taken together, these four items reflect about $6 million of headwind to adjusted EBITDAre. And finally, moving on to adjusted FFO per share. Our guidance of $1.64 at the midpoint reflects the $17 million expected increase in adjusted EBITDAre versus last year. It also reflects higher interest expense and higher income tax expense. As to interest expense, our full-year estimate is $4 million higher than last year due to a greater mix of variable rate debt and less capitalized interest. As to income tax expense, our full-year estimate is $7 million higher than last year. Recall, we had $5 million of favorability due to the release of a valuation allowance in 2024. Our 2025 estimate reflects income tax expense at a similar level to our initial 2024 guide. Income tax expense is expected to be at a lower level than pre-COVID both due to the use of NOLs and additional tax work that our team has completed. Year over year, our guidance reflects a $6 million increase in FFO. On a per-share basis, that is about a 3.5% increase at the midpoint. As we look ahead, we remain confident in the longer-term earnings power of the company. The completion of Grand Hyatt Scottsdale, its renovation, and its early ramp, overall strong group pace, and the rest of the portfolio holding its own in the face of expense pressure gives us confidence in our expectations for the year. Beyond that, we expect our investments over the last few years to drive superior earnings growth as we look ahead. We expect FFO per share to grow more significantly in future years as demand continues to improve. The supply backdrop continues to be favorable, and our hotel operators continue their efforts to manage expenses. And with that, we will turn the call back over to Lydia to begin our Q&A session.
Operator: Thank you. Please press star followed by the number one if you would like to ask a question. Ensure your devices are muted locally when it is your turn to speak. A kind reminder to please limit yourself to one question and one follow-up, and then return to the queue. Our first question comes from Ari Klein with BMO Capital Markets. Your line is open. Please go ahead.
Ari Klein: Thank you, and good morning. I was hoping maybe you can help unpack the RevPAR guidance a little bit. Obviously, group pace is up 12%, I think, excluding Scottsdale. You talked about improving business transient, but I guess the RevPAR guide excluding Scottsdale is around 2%. Can you just provide a little more insight into how you came up with that forecast?
Marcel Verbaas: Sure, Ari. Good morning, and thanks for the question. Yeah, as you pointed out, obviously, our group pace is very strong going into the year and continues to be strong. So that is definitely encouraging as we look at our guidance for the year. As you recall, group business is about 30% of our business overall. So it is nice to feel good about where we are on that piece. Obviously, the economic climate overall just creates a little bit more uncertainty still on these other components. We look at this year versus last year, we are encouraged by some improvement that we have seen on the corporate transient side and that Atish talks about. Clearly, we are still expecting leisure to lag, you know, where we were. So if you put all the pieces together, we obviously have a good amount of confidence in the guidance we put out today. But you know, we do not want to completely hang our hat on group pace this early in the year because we still want to see where that plays out as we go along throughout the year. And there clearly is just a lot more uncertainty in these other segments.
Ari Klein: Understood. And then maybe just Scottsdale. Obviously, a nice contributor this year. How much are you expecting it to contribute to EBITDA in 2025? I think the hotel did $23 million in 2019. And then given some of the broader challenges you alluded to on leisure, have your views on the time frame to get towards that stabilization number of $42 million changed in any way?
Marcel Verbaas: Yeah, we expect Scottsdale to essentially take about three years to get to stabilization. So kind of a shorthand way of looking at it is probably kind of low twenties in EBITDA this year. Hopefully, getting to low thirties next year and then getting to that stabilized number that we talked about for 2026. You know, part of our strategy here was that we really looked at where we were in 2019 before we got a lot of strength from leisure demand propping up a lot of markets, not only Phoenix, Scottsdale, when you looked at specifically 2022, which was more of a high watermark for the hotel. So the way we are looking at getting to that stabilized number is really looking back a lot more on what our business mix was in 2019 and how we improve from there. So as you know, a big component of what we did here was expanding the Arizona ballroom. Barry talked a little bit about that. So from our perspective, the thesis is intact as far as where we want to get to and what our mix should be going forward. We keep between group and leisure as we stabilize the hotel. So really, what we are seeing in the short term, a little bit of pullback on the leisure demand in the markets, is not unexpected. It certainly was not unexpected from the heights that we saw coming out of COVID. So getting kind of back to that more normalized level that we saw in 2019 is not something that would undermine what we think we will get to with this resort.
Ari Klein: Yeah, and the two things I would add. One, Marcel mentioned getting into the low $20 million range for this year. Just one thing to keep in mind with regard to the seasonality of the property. Historically, if you looked at the business, you know, we make 70% to 75% of our EBITDA in the first five months or so of the year. So obviously, with the completion of the ballroom taking place, you know, towards the end of last year, beginning of January, we are not going to see full, you know, maximum earnings in the first five months of this year just given the ramp there. So that is one piece, and why the number is kind of in the low $20 million range. And the second thing I will add is the production on the group side has been very strong. If you look at the last four months that we have data for, so that is October through January of this year, our pace was about 120% higher than it was in that comparable period at the end of 2019, January of 2020. So and that reflects 60% growth in room nights being booked and 40% higher rate. So, you know, that combination we think bodes well and we are just getting going on the group side in terms of having the expanded ballroom. And so, you know, all indicators are good in terms of the traction we are seeing.
Ari Klein: Thanks. Appreciate the color.
Operator: Our next question comes from Michael Bellisario with Baird. Your line is open.
Michael Bellisario: Morning, everyone. Couple of questions for Barry here. Just back to your prepared remarks, I think you mentioned softening group sort of outside of the urban and suburban locations. Can you expand on that? What markets? What assets? Why do you think that occurred?
Barry Bloom: Yeah, it was a trend that we had seen kind of set up for 2024 in a couple of markets in particular, specifically in Orlando and at Park Hyatt Aviara in Carlsbad. We never had a great setup for group. As we look at it both in foresight, but now look at the benefit of hindsight, we in those hotels, we clearly had some big benefit coming out of COVID in terms of demand from corporate customers in particular that really kind of piled into the hotels in 2022 and 2023. And while they did not necessarily take a break in 2024, it was not as robust in terms of what our expectations were, and a lot of the holes were backfilled with association business that had not been as evident in those markets in 2022 and 2023. Looking ahead to 2025, both of those properties have excellent group prospects and are back to a much more normalized mix of corporate versus association business.
Michael Bellisario: Got it. That is helpful. I just want to clarify that. And then also on the loyalty cost that you mentioned, any way you can quantify that in terms of margin impact in the year? Anything that you or your operators can do with kind of the on-peak, off-peak pricing to mitigate some of these cost pressures?
Barry Bloom: It is really hard to put a number to it or track it in a meaningful way. Some of the things that we know, and I think in many cases, it is part of why we are happy to have a branded portfolio now in its entirety, is that we generate a lot of loyalty, and those programs for us, particularly with our largest brands, Marriott and Hyatt, driving a lot of loyal customers into our hotels. The offset is that we are paying when they are in the hotel. So that is not, I am not talking about this is not about the redemption side. This is really about the cost of what we pay to provide points for guest stays. And we talk a lot about how with the brands, a lot of the brands, as you know, are lowering those costs this year to us as the payer of those points, lowering the percentage of folio that you are paying. But as we continue to drive that business and get the benefit of the brands, kind of the offset we are seeing. And in particular, in addition, as we drive more out-of-room spend, we are driving and spending more dollars on those loyalty costs as well.
Michael Bellisario: So it is more about volume increasing than the underlying, like, for like, cost per room increasing at least in 2024. Correct?
Barry Bloom: Yeah, for sure. Yeah. And that is right. I probably should have framed it that way. I mean, it is all about that we are capturing more of our guests are card-carrying, loyal members of these programs. And we are paying the cost of providing them their points.
Michael Bellisario: Got it. Understood. Thank you.
Operator: Our next question comes from Dori Kesten with Wells Fargo. Please go ahead. Your line is open.
Dori Kesten: Thanks. Good morning. You mentioned in your prepared remarks that the pipeline of what you are underwriting right now has grown versus the last few years. Can you provide a little bit more detail around that?
Marcel Verbaas: Thanks, Dori. Probably will not give you detail on what is in the pipeline, but what I will say is that just the number of opportunities that are out there seems to have increased a little bit. So things that we would underwrite and that we would consider that could be, you know, interesting additions to the portfolio. And that is not saying much because there was not a whole lot in the pipeline the last couple of years. So we are just seeing kind of a modest improvement there of deals that seem worthy of underwriting. Now also obviously mentioned in my remarks that we are going to be looking at that in conjunction with all other capital allocation decisions. And clearly, we continue to believe that there is a lot of value in our existing portfolio. So you have seen us over the last couple of years be more active on the share buyback side than we have been. And so we will clearly look at all of those to see how we drive shareholder value going forward.
Dori Kesten: Okay. And then I think it was back in January you drew down $100 million or so for the delayed term loan. Should we, for now, just view that as funding, you know, funding CapEx near term or should we read more about share repurchases or being closer on an acquisition?
Atish Shah: Well, I think I would just, at this point, you know, it is general corporate purposes. I mean, we have it on the balance sheet. It is cash, and you know, we will look to utilize that if something compelling comes across in terms of acquisitions. But also consider that some of the other capital allocation tools we have employed in the past. So no, nothing more to say about that at this point.
Dori Kesten: Okay. And then can you give us an update on how you are thinking about the trajectory of the W Nashville EBITDA? Just after a flat EBITDA year in 2024.
Barry Bloom: Yeah. As we have talked before, I think 2024 was very much a transitional year for the property in terms of getting the mix right as we have talked about before. The market, as you likely know, was very soft on the leisure side compared to the prior year. Did have good growth on the group side. Group was up almost 6% last year, which was a very definite part of our strategy. And we also had growth in business transient, which is a mark again, another market that we had intentionally pursued. So we feel good about the mix of the hotel. Group business on the books for 2025 without giving a specific number is up much more than the portfolio average overall. Which we think bodes well. And, again, it is part of really a multiyear strategy to position the hotel properly. So we think as we can layer business transient on top of that midweek at compressed pricing and hope for a better recovery in the market overall and continued absorption of the other luxury hotels on the leisure side. We think we are set up for a much better year there.
Dori Kesten: Okay. Thanks so much.
Operator: Thank you. And just our next question comes from Austin Wurschmidt with KeyBanc. Your line is open.
Josh Friedman: Hey. It is Josh Friedman on for Austin. Excluding the Grand Hyatt Scottsdale, which markets do you expect to drive above-average RevPAR growth in 2025?
Marcel Verbaas: So outside of Scottsdale, you know, some of the markets that obviously have big group components, given the strong bench of group pace that we have, I think will help us drive, you know, be at the top end of RevPAR performance. So that would include some of our properties in Houston, as well as Orlando. Barry just mentioned Nashville, so that is another market which we think will do well this year. So those are a few that give you a little bit of a sense of kind of, you know, how RevPAR across the portfolio might shake out.
Barry Bloom: And what I would say is that I think as we looked at 2025, the kind of the spread between the moderate performers and the outperformers is much tighter than it has been the last few years and is really back at the almost at the 2019 levels other than Scottsdale, obviously, but it is a very tight range of anticipated performance between the assets. So there are no huge outliers where we are expecting really significant growth nor are there markets where we are looking at moving to decline either. That is very different in the way we have looked at guidance in 2023 and 2024.
Josh Friedman: Okay. That is helpful. Thanks. And as a follow-up, what are you assuming for the West Coast markets in 2025?
Barry Bloom: Based on what we saw continue through 2024, I mean, we look to see continued growth particularly on the business transient side in the Northern California markets. So for us, that is San Francisco and Santa Clara, where we expect to see continued strength and rebound from tech business. It is obviously a very low base. But we have seen last year and continue to see in the early part of this year a recovery in that as well. And obviously, our other markets, we expect some recovery in our leisure assets in California, particularly Napa, Canary Hotel in Santa Barbara, and then we are actually set up for a very good year at Park Hyatt Aviara in terms of group and are hopeful that we will be able to drive transient through there as well.
Josh Friedman: Great. Thanks for the color.
Operator: And our next question comes from David Katz with Jefferies. Your line is open.
Rita Chen: Hi. This is Rita Chen on for David. Just wondering if you can unpack a little bit on your assumptions at the low end and the high end of your guidance, particularly around your comment on macroeconomic uncertainty and leisure moderation. Thanks.
Marcel Verbaas: Yeah. Sure. When we look at the high end versus the low end, I mean, clearly, Scottsdale is one component of that and how that comes in a little bit stronger than what our current expectations are, that will certainly help get us closer to the higher end. Another piece of it is, as we talked about, we have a very strong group pace right now. So if it turns out that business transient continues some good recovery that we have seen in the earlier part of the year, that would certainly be helpful too. And the leisure demand piece is really kind of a question mark here. So clearly, we do not necessarily deal with the same trends as some of our peers the way it relates to international visitation. But just in general, how strong the leisure market is over the summer will have some impact on whether we get, you know, we get a little bit above the midpoint of the guidance versus below the guidance. So it is more about some uncertainty around the transient side of the business while we feel very good about where group stands right now.
Rita Chen: Great. Thank you for the color.
Operator: Thank you. We have no further questions. So I will pass the call back to Marcel Verbaas, Chair and CEO, for closing comments.
Marcel Verbaas: Thanks, Claudia. Thanks, everyone, for joining us today. As we mentioned in our remarks, we are very excited about where we are with Scottsdale, the finished product, what we ended up there. I would like to thank our project management group for the hard work that went into getting that project complete. Everyone that has seen the asset is extremely proud of the work that we have done there and excited about what that can do for us going forward. Clearly, we are still in an uncertain environment from an economic standpoint, but we feel very good about the quality of the portfolio, where we have positioned it going forward. I think we are well-positioned to outpace the industry over the next few years. Thanks again for joining us, and we look forward to seeing many of you over the next few weeks.
Operator: This concludes today's call. Thank you very much for joining. You may now disconnect your line.